Operator: Good morning, and thank you for joining the Lument Finance Trust's First Quarter 2024 Earnings Call. Today's call is being recorded and will be made available via webcast on the company's website.
 I would now like to turn the call over to Andrew Tsang, with Investor Relations at Lument Investment Management. Please go ahead. 
Andrew Tsang: Good morning, everyone, and thank you for joining our call to discuss Lument Finance Trust's First Quarter 2024 Financial Results. With me on the call today are Jim Flynn, our CEO. Jim Briggs, our CFO; Jim Henson, our President; and Zach Halpern, our Managing Director of Portfolio Management.
 On Thursday, May 9, we filed the 10-Q with the SEC and issued a press release to provide details on our first quarter results. We also provided a supplemental earnings presentation, which can be found on our website.
 Before handing the call over to Jim Flynn, I'd like to remind everyone that certain statements made during the course of the call are not based on historical information and may constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934.
 Such forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from those contained in the forward-looking statements. These results and uncertainties are discussed in the company's filings reported with the SEC, in particular, the Risk Factors section of our Form 10-K.  
 It is not possible to predict or identify all such risks and listeners are cautioned not to place undue reliance on these forward-looking statements. The company undertakes no obligation to update any of these forward-looking statements.  
 Further, certain non-GAAP financial measures will be discussed on this conference call. A presentation of this information is not intended to be considered in isolation nor as a substitute for the financial information presented in accordance with GAAP. Reconciliations of these non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP can be accessed through our filings with the SEC.  
 For the first quarter of 2024, the company reported GAAP net income of $0.11 and distributable earnings of $0.15 per share of common stock, respectively. In March, we also declared a dividend of $0.07 per common share of stock with respect to the first quarter.
 I will now turn the call over to Jim Flynn. Please go ahead. 
James Flynn: Thank you, Andrew. Good morning, everyone. Welcome to the Lument Finance Trust's Earnings Call for the first quarter of 2024. We appreciate everyone joining today.
 Let's start just as we enter 2024, we are cautiously optimistic the lending environment would begin to improve during the first half of the year. We are now in early May. The Fed has yet to implement any rate cuts and the economic data suggests inflation has remained stubbornly elevated. The economy and labor market have remained broadly resilient despite this FERC increases in short-term rates that began over 2 years ago.
 And although the Fed has indicated that did not expect future hikes in its remarks, a couple of weeks ago, the consensus view of higher for longer seems prudent until the trend and economic data suggests otherwise. The multifamily sector continued to be challenged during the first quarter with muted property sales activity leading to limited acquisition financing opportunities.
 Given the persistent of elevated interest rates, borrowers have also been reluctant to refinance their portfolios unless compelled to do so. Just this week, the MBA announced first quarter volume -- lending volume with multifamily down 7% year-over-year in Q1 and down 29% from Q4 of 2023.
 Despite the challenging short-term environment, nearly $500 billion of multifamily mortgage debt is expected to reach initial maturity by the end of 2025, according to MBA estimates. And combined with the perhaps cause in the property sales transaction volume to move towards a new normal level activity, we expect to see a return of attractive lending opportunities in the medium and long term.
 Multifamily as an asset class continues to outperform other CRE property types. And we believe this is the reason our company provides its shareholders with a unique value proposition. LFT has a deliberate focus on middle-market multifamily credit, success in active asset management and strong sponsorship provided by the broader Lument and ORIX platforms.
 As a result, the company has been able to maintain stable dividends with better-than-average credit performance within its investment portfolio and a superior dividend yield relative to many of our peers. Having effectively fully deployed our investable capital in the second half of 2023, our focus this quarter was on proactively managing our portfolio to protect shareholder principle. We successfully resolved the 2 5-rated assets from our December 31 report and maintained a stable weighted average risk rating of 3.5 for the quarter ended March 31 with no specific reserves recorded during the period.
 We increased our available unrestricted cash quarter-over-quarter, ending Q1 with approximately $65 million compared to $51 million in December -- as of December 31. We believe the increased liquidity will allow us to maintain flexibility in achieving positive asset manage outcomes for our shareholders and provide us with the potential to deploy capital into attractive investment opportunities outside of our 2 existing securitization structures.
 In the meantime, we have earned relatively attractive returns on our cash deposits given the elevated short-term rates. Our portfolio continues to be financed with long-dated secured financing that is not subject to mark-to-market margin costs. FL1, the CRE CLO, we closed back in 2021. It's now beyond its reinvestment period and has begun to delever with repayments of its collateral.
 We continue to explore opportunities to refinance the portfolio. As of quarter end, the cost of funds for FL1 was SOFR plus 157 and an effective advance rate of approximately 82%, levels, which we believe are still attractive relative to other portfolio financing alternatives available in the market.
 The LMF financing transaction we executed mid last year has the remaining reinvestment period that extends into July 2025, and we fully intend to reinvest capital as complete within that structure becomes available.
 With that, I'd like to turn the call over to Jim Briggs, who will provide details on our financial results. Jim? 
James Briggs: Thanks, Jim. Good morning, everyone. Last evening, we filed our quarterly report on Form 10-Q and provided a supplemental investor presentation on our website, which we will be referencing during our remarks. Supplemental investor presentation has been uploaded to the webcast as well for your reference. 
 On Pages 4 through 7 of the presentation, you will find key updates and earnings summary for the quarter. For the first quarter of '24, we reported net income to common stockholders of approximately $5.8 million or $0.11 per share. We also reported distributable earnings of approximately $7.6 million or $0.15 per share. There are a few items I'd like to highlight regarding activity during the period. 
 Our Q1 net interest income was $13 million, compared to $9.1 million in Q4 of '23. The sequential increase was primarily driven by higher exit fee income due to greater quarter-over-quarter payoff activity within the portfolio and $3 million related to resolution of 2 defaulted loans, 1 collateralized by an office property located in Columbus, Ohio, in which we reduced our current value to 0, and the other collateralized by multifamily property located in Virginia Beach, Virginia, which was modified during the quarter with, among other things, previously passed through interest being brought current.
 Payoffs during Q1 totaled $97 million as compared to $43 million in the prior quarter. Associated Q1 exit fees totaled approximately $825,000 as compared to $210,000 recognized in the prior quarter. The majority of loan payoffs we experienced were driven by borrowers, either refinancing with another lender or selling the underlying properties.
 As a reminder, when one of our loans are refinanced with a permanent agency loan provided by an affiliate of our manager, the borrower exit fee is waived pursuant to the terms of our management agreement. In these instances, we do, however, receive a credit equal to 50% of the waived exit fees against our reimbursable expenses due to our manager. Our credit for -- waived exit fees was flat quarter-on-quarter.
 Our total operating expenses were $4.3 million in Q1 versus $2.7 million in Q4 of '23. The majority of the sequential increase in expenses was driven by the accrual of incentive fees due to our manager, which are accrued and payable on a quarterly basis, equal to 20% of the excess of core earnings as defined in our management agreement over an 8% per annum return threshold. 
 Distributable earnings can be used synonymously with core earnings in this context. Outside of that, operating expenses were largely flat quarter-on-quarter. The primary difference between reported net income and distributable earnings to common was approximately $1.8 million attributable to the increase in our allowance for credit losses, all with respect to our general CECL reserves.
 Property acquisition volume continues to remain depressed, leading to limited visibility in the market with respect to valuation and cap rates. The increase in general reserve is reflective of changes in the macroeconomic forecast including current higher rates for longer sentiment as well as cautiousness in our modeling as it relates to CRE pricing during this period.
 period. As of March 31, we had 2 loans risk-weighted 5 for default risks. One is a $17 million loan collateralized by a multifamily property in Brooklyn, New York and risk rated 5 due to imminent maturity default. The other asset is a $20 million loan collateralized by 2 multifamily properties near Augusta, Georgia, that is risk-weighted 5 due to monetary default. Both of these loans have been placed on nonaccrual status, while both of these -- although both of these loans have since made their April interest payments, which will be recognized in income on a cash basis. 
 We evaluated both of these 5-rated loans individually to determine whether asset-specific reserves for credit losses are necessary. And after an analysis of the underlying collateral determined that none were necessary as of March 31.
 As of year-end, the company's total equity was approximately $243 million. Total book value of common stock was approximately $183 million or $3.50 per share up from $3.46 per share as of year-end. We ended the first quarter with an unrestricted cash balance of $65 million, and our investment capacity through our 2 secured financings was effectively fully deployed.
 We'll now turn the call over to Jim Henson to provide details on the company's investment activity and portfolio performance during the quarter. Jim? 
James Henson: Thank you, Jim. I will now share a brief summary of the recent activity in our investment portfolio. During the first quarter, LFT experienced $97 million of loan payoffs. A portion of these loan payoffs related to the defaulted loans discussed by Jim Briggs earlier. We did not acquire or fund any new loan assets during the first quarter. 
 As of March 31, our portfolio consisted of 81 floating rate loans with an aggregate unpaid principal balance of approximately $1.3 billion. 100% of the portfolio was indexed to 1 month SOFR and 94% of the portfolio was collateralized by multifamily properties.
 An analysis of our net interest income sensitivity to shifts in term SOFR appears on Page 12 of the earnings supplement. Our investment portfolio continued to perform well during the first quarter, and we ended the period with slightly more than 77% of the loans in portfolio risk rated A3 or better, marking a slight improvement versus the fourth quarter of 2023. 
 Our weighted risk average rating remains stable at 3.5 sequentially. Our 5-rated aggregate loan exposure decreased to approximately $38 million this quarter versus $46 million as of year-end. At the time of our last earnings call, we had 2 5-rated loans that have now been fully resolved.
 As expected, we received additional insurance proceeds in the amount of $13.5 million on the defaulted loan on the property in Columbus, Ohio, reducing the carrying value of this loan to 0 and after taking into consideration legal and other costs, resulting in the recognition of onetime income of approximately $2.5 million during the first quarter. 
 The other 5-rated asset at the end of 2023 was a defaulted loan on a multifamily property in Virginia Beach, Virginia. We entered into a loan modification with the borrower and received a $3.6 million partial principal pay down during the first quarter. Last week, the borrower repaid the remaining loan balance in full in accordance with the terms of that loan modification. We are very pleased to have achieved positive asset management outcomes for these loans, thanks to deep experience and diligent efforts of our team. 
 With that, I will pass it back to Jim Flynn for closing remarks and questions. 
James Flynn: Thank you, Jim. Thanks to our attendees and your interest. And operator, please open the call for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Crispin Love from Piper Sandler. 
Crispin Love: So no new investments in the quarter, but you did have some payoffs. So can you speak to some of the drivers that have expectations going forward in the quarter? Was it lack of opportunities, cautiousness in the market or anything else you would call out? And then just how would you expect new investments to compare to payoffs in coming quarters? 
James Flynn: Okay. Yes. So as noted in -- on the call earlier, FL1, which is our 2021 securitization is out of its reinvestment period. New investments previously were often reinvestment of that securitization. So right now, we're basically at capacity given that FL1 is out of the investment period and LMF, the 2023 transaction is at capacity. We do have $60-plus million of cash. It's just a matter of strategically looking to finance FL1. And planning with that excess cash accordingly.
 So something to consider over the next couple of quarters as FL1 continues to deleverage. But over the near term -- over the next quarter to 2 quarters, I don't know that we'll see FL1 refinance, but that will all be market condition dependent.
 I think so we're effectively fully deployed with obviously the elevated cash. So in answer to your question, I would expect to be able to fill any reinvestment capacity that we have in a reasonably -- unless it's -- at the very end of the quarter, we'll be able to -- despite the relatively slow market, there are lending opportunities. 
Crispin Love: Right. Okay. That makes sense. I appreciate that. And then second question for me, can you just give us your views on credit in the portfolio. Provision increased a bit here. Credit metrics were stable and the resolutions were good to see. But are there some other competitors have been having tougher experiences as of late. So anything on credit that you're seeing would be helpful. And then why you think you might be performing better than some of the peers in the space here? 
James Flynn: Well, the honest answer is I think that we've done a very good job of putting together a quality portfolio. And we've had good sponsors who have worked with us to come up with resolutions to challenging situations. And we feel pretty confident and comfortable that we'll continue to be able to do that in the existing portfolio. 
 We've had the structure of our loans have always had rate caps. We've had milestones for drawing down new capital in terms of rental increases and actual business plan milestones that have provided opportunities to work with sponsors sometimes sooner in the process than others may have been able to.
 In general, I think we were -- did a good job on the front end and have a very, very good asset management and portfolio management group that spend a lot of time at the assets and with the sponsors and making sure that we're timely on top of issues. There's not something more secret than that other than I think we have a really good credit team. 
Operator: Our next question comes from the line of Jason Weaver from JonesTrading. 
Jason Weaver: First of all, you spoke to this in the last question regarding the wind down of FL1. I was curious with how much credit spreads have tightened in here quarter-to-date and over the first quarter, if the opportunity is more immediate to pursue that refinancing and where you're seeing generalized spreads out there. 
James Flynn: So on -- I mean, on the credit side, from -- at 82% and 157 over, there's no opportunity that's really even close to that rather private or public. But as you point out, as time goes by and continue to delever, the cost of those funds will increase.
 You asked immediate, we're evaluating it like we have been and continue to do so depending on how you define immediate. But we think that there is potential this year or early next year to potentially refinance that, but it's really going to be dependent on the capital markets. Obviously, we can get it done, I think, I should -- I shouldn't say obviously, but I think you can get a refinance on in the public markets. I think there's other structures with private or noncapital markets transactions that would provide for refinancing.
 But today, frankly, they're economically not as attractive to pull the trigger in our opinion, but we're getting closer to that. And we are working with our banking partners who have been the same of ways might refinance that portfolio in a way that does make sense perhaps sooner than later. But the short answer is, we feel comfortable with the financing today and want to continue to take advantage of the relative cost of capital and, frankly, higher leverage so we might otherwise achieve outside or in a new deal.
 But it is something we're going to be continuing to do every month, look at the market, look at what we can get and compare long term, what we're doing. And I'll also note, I mean we said this, I mentioned the $500 billion of maturities coming up. So we're already almost halfway through 2024. So that number is probably been pushed into '25 already with extensions. We just don't have that data in the market yet. 
 So the opportunity is coming. We're already seeing more for sure, but it's nowhere near where it's been a couple of years ago. So that's also a consideration just in terms of taking advantage of refinancing and creating more capacity we want to make sure that we have attractive investment opportunities at that time as well. So that's part of the equation as well. So not a direct answer, but that's our thought process. And we talked about it internally and with the Board every time we meet. 
Jason Weaver: No, that's still very helpful. And I was also curious, is there -- with the liquidity build that you've seen to date, taking into your answer into account with what you're likely to see on more repayments, any change in your posture towards how you're thinking about possible share repurchases? 
James Flynn: It's something -- look, it's been on the table with the Board. I mean -- one of the -- there's obviously a number of issues, right, the size of the globe being a big one. It's something we -- it's certainly something we consider. It's -- but it's weighing the benefits of liquidity, future investment capacity and the immediate kind of benefit to shareholders and how that might impact the long-term value. 
Operator: Our next question comes from the line of Stephen Laws from Raymond James. 
Stephen Laws: Nice start to the year, a good number out of the gate. I know to get the 2 5-rated loans resolved. Can you touch on the resolution path for the new 5-rated loans? I know you've said both paid April, no specific reserves. So good updates there. But can you talk about timing or resolution path on those 2, I guess, 2 loans, but 3 assets. 
James Flynn: Yes. It actually -- weigh in on. Yes. 
James Briggs: Yes. I mean I think that is a very real-time conversation I don't think we're prepared to share the exact resolution path at present. But just like what you've seen from us in the past, this involves hands-on active management negotiation with the sponsors push towards quick resolutions. 
Stephen Laws: Okay. And then to circle back to the CLOs, I guess, or FL1 specifically, looking at Q4, that spread was 155 and only increased even with $70-some-odd million of repays to 157. Is it -- can you help me with the math there, or how I think about that going forward? Is it a pro rata pay structure in some way? Or I was a little surprised with that level of prepays that, that financing cost didn't increase by more than 2 basis points sequentially. 
James Flynn: Yes. I mean what I'd say is that the 2021 securitization with the big AAA and then pretty flat spreads down the stack, meaning that this is a 600 basis point BBB spread, don't have exactly offhand where the BBB is, but I want to say it's in the 300s. You're only seeing a marginal increase in spread from that AAA paying down. It is the AAA paying down. It's not a pro rata of the other tranches, just mechanically what the number is.
 It will shift up as the AAA continues to pay down, but not excessively. Frankly, the larger issue there is just the deleveraging, right, the fact that you have less debt on your equity and that will be the primary driver of the nature of finance ultimately -- yes -- and its size. It's a bigger securitization than the other ones for that. Certainly, small -- it will. 
Stephen Laws: The BBBs that, it probably stays pretty attractive for some time. I guess, to think about incorporating other financing structures you mentioned, I mean, when you look at bank lines and along those lines, where are spreads on the investments for what you see as you look at opportunities? And how do those spreads compare with what bank lines, banks are charging these days, if you were to go that route and kind of considering the lower advance rate on those facilities, what would fully levered ROE look like if you chose a path like that to open up the growth opportunity? 
James Flynn: Well, I think the -- there's 2 -- I think there's 2 -- 2 questions there, 2 answers. One is the refinancing of the -- if we were to refinance FL1 with a termed out bank line, just I think how you're asking, that spread and that leverage would be negotiated, and I don't think it would certainly be related and correlated to a market, but it wouldn't be the same as a new warehouse.
 Those spreads -- so new asset spreads are -- there's a wide range because the credit is a wide range. You have high-quality new construction deals that are coming out of construction into lease-up at relatively low leverage pricing in the mid- to high 200s, low 300s depending on where and what you have extended business plans for bridge loans that have taken longer and are maybe getting recap with the new sponsor, same sponsor for an extra couple of years that are probably more in the 300s and then you probably have some -- and then you could go into the maybe higher leverage, different markets above that, we're not typically seen too much.
 But -- those are -- so the asset spreads -- we're trying to balance some of the credit risk versus the return, obviously, as we've done. So we'll have a balance of  those opportunities. And I think warehouse and bank spreads when you're thinking about what those look like in the market, which we don't have at LFT response, obviously, we do. Those credit spreads and leverage relate to the assets that you said. So you have, I'd say, in the high 100s to the low 200s for new deals, newly originated deals and leverage 70%, 75% is pretty market, I would say. Zach or Andrew or anyway if you guys have more to add there, but I think that's about where things are. 
Stephen Laws: Yes. Well, that's great color, and I really appreciate you walking through those numbers for me. Appreciate it. Thanks for the comments this morning. 
Operator: Our next question comes from the line of Christopher Nolan from Ladenburg Thalmann. 
Christopher Nolan: The Brooklyn nonaccrual, is that a rent-stabilized building? 
James Flynn: Yes, it is the exact answer. I'm sure there's some. I don't -- I'd have to check on it. 
James Briggs: Right. It's primarily market rate. 
James Flynn: To be clear, on the deal there's no -- yes, there's just -- I mean, I'll state, [ unequivocally ], that is not an issue. This is that -- it's value is not an issue on that one, I will stay that. 
Christopher Nolan: Okay. And then for the loan portfolio in general, do you have any interest-only loans? 
James Flynn: Well, they're all included. I mean for the floating stuff, it's interest-only -- which is the portfolio. I mean the bridge portfolio is interest-only. There are rebalancing, the requirements that would require principal pay downs and those exist in all forms.
 And then a recap of what these underlying bridge loans are, they're typically they're 2- or 3-year terms to floating rate and interest-only. They do have interest rate apps which are purchased by the sponsors. But bridge is primarily, whether it's us or competitors in the space, they are interest rate -- they are interest-only... 
Christopher Nolan: And I guess, given that, how does that affect your reserving methodology just because these borrowers sort of have a larger balloon payment at the end than normally? 
James Flynn: So I mean, I'll let Jim Briggs to the process. But just in general, I mean, so when we look at our -- when we do an active analysis of our portfolio, from my perspective and there is actual process, but the key metric we're looking at could start is what's our basis of our loans to value. And so that's the primary driver. So whether in some cases, we obviously have assets that maybe started at a 70 as is LTV, it might be 75 or 80 today and that's not meant equity has lost value, but our credit position is pretty good. So that's where we're kind of evaluating and then obviously looking at the market and the comps.
 So we're doing a true asset-by-asset analysis on whether we think there's an impairment or a risk of loss. On the general reserves on the CECL side, that is a more macro market-driven analysis, and that is less focused on the specifics of our portfolio and we're focused on industry and macro trends. And Jim, I don't know -- if we've generally taken think a further concern... 
James Briggs: Yes. I mean it's going to be a combination of both CECL requires a look forward on what the macro environment and the forecast is going to be. We choose a 1-year period for that. But to Jim's point, on collateral value and LTVs, that is a big driver as well. And you're seeing that in our general reserve, right? I talked about our general cautiousness in this period as we model where there's not a lot of activity getting done and the observability of cap rates and valuation. 
 That's sort of speaking to LTVs, right, and collateral value. So the same drivers that Jim talks about is going to be a big driver of the reserve. There is going to be this macroeconomic look as well because it's expected losses over the life, and we need to be forecasting. And we saw that macro for us, that macro forecast move to more of -- we're not going to see rate cuts as soon as we thought we may we're going to and they're going to come later in the year potentially. 
 So it's a combination of both, but I would say that LTV is going to be a driver there and was a driver of reserve. 
Operator: Our next question comes from the line of [indiscernible] from UBS. 
Unknown Analyst: Good report. The recoveries on the commercial building I guess, to me sort of look like an extraordinary gain. If we strip out that gain, what do distributable income per share numbers look like? 
James Briggs: Those one-timers work out to be about $0.06 for the one-timers. And I spoke about the incentive fee. So that's sort of going the other way for about $0.03. So -- but the one-timers in particular, were about $0.06. 
Operator: There are no further questions at this time. I will now turn the call over to our presenters. Please go ahead. 
James Flynn: I want to thank everyone for your time and interest and look forward to catching up again next quarter. Take care. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.